Operator: Ladies and gentlemen, thank you for standing by. Welcome to the First Quarter 2016 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we'll conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Wednesday, April 20, 2016. I would now like to turn the conference over to Erik Staffeldt, Vice President of Finance and Accounting. Please go ahead, sir.
Erik Staffeldt: Good morning, everyone; and thanks for joining us today for our conference call on our Q1 2016 earnings release. Participating on our call for Helix today is Owen Kratz, our CEO; Tony Tripodo, our CFO; Alisa Johnson, our General Counsel; and Scotty Sparks, our COO. Hopefully, you've had an opportunity to review our press release and the related slide presentation released last night. If you do not have a copy of these materials, both can be accessed through the Investor Relations page on our website at www.helixesg.com. The press release can be accessed under the Press Releases tab and the slide presentation can be accessed by clicking on today's webcast icon. Before we begin our prepared remarks, Alisa Johnson will make a statement regarding forward-looking information. Alisa?
Alisa Johnson: During this conference call, we anticipate making certain projections and forward-looking statements based on our current expectations. All statements in this conference call or in the associated presentation, other than statements of historical fact are forward-looking statements and are made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Our actual future results may differ materially from our projections and forward-looking statements due to a number and variety of factors, including those set forth in our Slide Two and in our Annual Report on Form 10-K for the year ended December 31, 2015. Also, during this call, certain non-GAAP financial disclosures may be made. In accordance with SEC rules, the final slides of our presentation materials provide a reconciliation of certain non-GAAP measures to comparable GAAP financial measures. The reconciliation along with this presentation, the earnings press release, our Annual Report and a replay of this broadcast are available on our website. Owen?
Owen Kratz: Thanks Alisa. Good morning, everybody. Starting as usual on Slide 5, which is a high level summary of Q1 results, generally speaking Q1 results were consistent with our own expectations that the first quarter would be the low quarter for the year as EBITDA came in at the positive $1 million on $91 million of revenues. The relatively weak results are a reflection of a continuation of a very weak industry condition, combined with normal winter seasonal factors. For all practical purposes, the only vessel on the well intervention side that had high utilization during the quarter was the Q4000 in the Gulf of Mexico. Turning to Slide 6, the Q4000 did see 100% utilization during the quarter, aside from the Q4000 and apart from a few days in early January with the well enhancer, the remaining well intervention fleet stayed idle at port. The Q5000 spend most of the quarter mobilizing for the BP contract; more on the Q5000 later. As previously announced, we realized $11 million in cash from the sale lease back of our office warehouse facility in Aberdeen and another $25 million from the sale of our 50% interest in Marco Polo Hub. On Slide 7, from a balance sheet perspective, our cash levels remained relatively steady from yearend 2015 levels of $488 million, compared to $494 million at 12/31/2015. The previously mentioned $36 million in asset sales helped us maintain our cash levels and we also paid down $19 million of scheduled principle payments on our debt instruments. As such, our net debt declined to $244 million at quarter end from $255 million at the end of December. Our revolving credit facility remained undrawn. You may recall in February, we amended the credit facility to provide us with more cushion with respect to covenant compliance. I'll now turn the call over to Scotty for an in-depth discussion of our operations results.
Scott Andrew Sparks: Thanks Owen. Moving on to Slide 9, our Q1 results declined as expected compared to Q4 as we continue through the winter months resulting in less utilization and well intervention and robotics business units due to the seasonal factors and weaker industry conditions. Revenue in the first quarter declined to $91 million from $158 million in the fourth quarter. Our gross profit margin declined from 13% in Q4 to a negative 16% in Q1, resulting in a loss of $17 million. To mitigate cost during the seasonal low period, both the Skandi Constructor and the Seawell remained warm-stacked in the U.K. and we commenced full cold stacking of the H534 in the Gulf of Mexico. At the end of Q1, we reduced the Robotics vessel fleet to three fully operational vessels. Offshore staffing vessels were sized to fit the fleet and expected levels -- activity levels and we've reduced the riding cost of all of our vessels. Cost savings and efficiencies continue to remain a key target cost of business. Moving on to Slide 10 for our Well Intervention business, in the Gulf of Mexico, Q4000 had a very good quarter, fully utilized working for two clients and with very minimal 44 hours downtime throughout the entire period. The vessel is currently working and has a busy year planned ahead with numerous clients. Q5000 continued preparation for the BP contracts and in mid March commenced the paid mobilization of the BP equipment and the acceptance testing. The vessel is currently in field and fully mobilized to BP, undergoing some final tests, which we expect to complete soon in the next few days. As a result of the ongoing testing procedures and some equipment issues, although under contract, we're presently operating at less than 100% day rate. The vessel is then planned to go straight to work for the remainder of 2016. IRS 2 completed contracted work in mid February and then undertook upgrade compensated by BP and is now fully mobilized on to Q5000 with BP. IRS no.1 completed contracted work in mid February and is currently being stored at our facility that’s available to the market. H534 is now cold stacked in Mississippi with some minor procedures underway to seal the vessel for this period. All offshore staff have been released and the running cost of the vessel is significantly reduced. And in North Sea, both the Seawell and Skandi Constructor remained warn stacked in the U.K. for the quarter. The Well Enhancer completed work in January and was then idle for the rest of the quarter. The client cancelled a project in March and paid a cancellation fee covering the cost portion of the quarter. The vessel is currently working in the Central North Sea. The new build vessels for the Petrobras contract Siem Helix 1 and 2 are progressing well at the FSG shipyard in Germany and are on budget. Siem Helix 1 recently experienced a small localized fire on the front of the vessel. Based on what we know today, no major equipment or system damage has -- sorry, based on what we know today, no major equipment or systems have been damaged. However, there is some cleanup and minor work to undertake the set the vessel back by approximately one month. The vessel is still scheduled to undertake sea trials and acceptance by the yard in Q2. We've hired nearly all required offshore staff to the vessel and increased our onshore staff at our local office in Rio. Moving on to Slide 11 for our Robotics review, as expected our Robotics business had a challenging quarter and continued to see rates and utilization decrease through the winter periods. We've now reduced our Robotics vessel fleet from -- robotics vessel fleet from five vessels in Q4 to three fully operational vessels in Q1, consistent at the Grand Canyon I, the Grand Canyon II and the Deep Cygnus and we've sized our offshore staff and requirements accordingly. The Rem Installer is still on contract to us. However, after completing work in the Gulf of Mexico early in the quarter, the vessels is now being cold stacked in Norway and will be returned to owner in July. We've negotiated rate reductions for all three Grand Canyon vessels commencement to start in 2016 by expanding the charters and agreed to delay commencement of the charter by 12 months for the Grand Canyon number III. Grand Canyon I completed paid transit back to North Sea after a successful trenching project in Brazil and the vessel conducted some smaller ROV contracts in the North Sea. Grand Canyon II completed transit from the North Sea to the Gulf of Mexico and was awarded some small support contracts with various clients. Deep Cygnus was fully utilized on the walk-to-work project in Equatorial Guinea and the project is now being further extended and the vessel return to the U.K. at least mid May. Our standalone ROV and personnel service contracts continued as normal with various clients. Over to Slide 12, I believe this slide detailing the vessels ROV and trenching utilization for your references. Turning the call over to Erik for more in depth balance sheet discussion.
Erik Staffeldt: Thanks Scotty. Moving now to Slide 14 for a review of our key balance sheet metrics, our funded debt at March 31 decreased to $757 million, reflecting our scheduled quarterly principle payments of $7.5 million and our term loan and $8.9 million on our Q5000 loan and our semiannual merit payment of $2.9 million. Moving on to Slide 15, it provides an update on our gross and net debt levels on March 31. Our net debt position decreased to $244 million in the first quarter from $255 million in the fourth quarter. Our cash position decreased this quarter by $6 million, driven by our debt repayments of $19 million, capital expenditures of $23 million partially offset by receipt of $36 million associated with the asset sales of Helix House and Deepwater Gateway. Our liquidity at March 31 was approximately $635 million, comprised of cash balance of $488 million and revolver availability of $147 million. I will leave Slide 16 financial highlights for your reference. I will turn the call over to Tony for a discussion on our 2016 outlook.
Anthony Tripodo: Thank you, Erik and good morning to everyone. Moving over to Slide 18, as Owen mentioned early in this call, we continue to operate in a most difficult industry environment. Even though the price of oil has bounced off of its early 2016 lows, we believe our customer base will want to see a more sustained uptrend in oil price before they alter their spending approach in any material way. We were reluctant to provide guidance back in February, which has been the timeframe in which we historically have provided initial earnings guidance for any particularly year. Although there is still a great deal of uncertainty to play out in 2016 particularly with respect to how this North Sea market develops this year, we are now providing EBITDA range for the year at $110 million to a $130 million. This range takes into consideration an assumed amount of contribution from expected work to develop for the company and then particularly in the North Sea. So the range is not a lot by any stretch. Scotty mentioned to you the fire incident aboard the Siem Helix 1 vessel earlier this month at the construction site. Although preliminary reports suggest that the shipyard can maintain scheduled, despite damage to the vessel, we're taking a more cautionary approach in our forecast and now assume a late Q4 start up for the Petrobras contract for the Siem Helix 1 vessel. We've revised the CapEx forecast for the year is slightly lower to $230 million. Moving over to Slide 19, total backlogs at yearend was steady at approximately $1.7 billion. On the well intervention side, we expect both the Q4000 and the Q5000 to realize good utilization for the remainder of 2016. However there is a lot less clarity for the North Sea fleet. The Well Enhance is working now and our expectations are that she will see good utilization for the remainder of the year. The outlook for both the Skandi Constructor and the Seawell is cloudier. There is a considerable amount of work we are bidding on for the Seawell, a certain amount which is assumed in our forecast, but little of which is firmly contracted. On the Robotics side, the outlook remains unchanged. It will be very weak year for this business segment due to lack of subsea infrastructure spending by the industry. I will leave the details enumerated on this slide for your reference. And as Scotty mentioned on the Robotics side, the outlook remains unchanged. It will be a very busy year for this business segment due to a lack of subsea infrastructure spending. Going over to Slide 21, for CapEx we expect to spend $230 million in 2016 with the substantial majority of that number associated with the completion of the top sides for the two Siem Helix vessels under contract to Petrobras and further progress spending for the Q7000. Presently our plans are not to take delivery of the Q7000 until the very end of 2018. On to Slide 22, a bit more color on our balance sheet metrics. Our gross debt is set to decrease $71 million in 2016 due to scheduled principle payments. Our net debt levels are forecast to increase from $255 million to somewhere between $350 million and $390 million. This is consistent with the forecast we gave in February. This range is based on a number of assumptions, which could vary significantly including the amount of operating cash flow that is ultimately generated, working capital changes, tax refunds etcetera. The $36 million of asset sales that have already occurred in Q1 is also factored into this range. I’ll skip Slide 24 and leave it for you reference and then turn the call over to Owen for closing remarks.
Owen Kratz: Thanks Tony. While there is not much to add to what’s already been said, the start to 2016 has been about what we expected. 2016 will be worse than 2015 as legacy work was still getting completed in 2015. Q1 result was always expected to be slow. Rates are down, but lower utilization is the real issue. It's not a matter of losing work to rigs or other competitors. The fact is that producers are not spending and there is substantially less work being done. It's our expectation that the current status is not sustainable for the industry. At some point, the customers will have to have well intervention performed to enhance production or perform required abandonment work. Either way Helix is in line to benefit. Until that time we expect the market to remain at these low levels, but we do anticipate our EBITDA to improve over the next year through 2018 from new assets going to work on existing contract as well as improvements in our Robotics Group through decreasing charter cost and the prospects we see primarily in the alternative energy trenching market. The Q5000 is now outworking for BP. We’re having some initial start-up issues with the vessel should be working in the remainder of the year for BP in the Gulf of Mexico. I’ve always stated that although we have existing agreements with Petrobras, we've been in ongoing negotiations with respect to potential contract amendments that would both assist Petrobras in their cost cutting efforts and also be acceptable to us. I’ve just returned from meetings with Petrobras in Brazil. Although I can’t discuss the specific terms, Petrobras did authorize me tell investors that commercial negotiations are now concluded and that they need to take the time to get their internal approvals that they need to execute contract amendments. This has been a sliding target. So we'll just need to be patient. The ship yard had a fire on board as Scotty mentioned on the first vessel. It was confined to the forecastle, the coastal area, which will require some repair and cleanup and we anticipate the first vessel to be in Brazil and on contract in Q4. For the remainder of this year, Q2 is expected to pick up from Q1, but will remain soft as weakness in the market continues. Q3 is expected to show seasonal strength with Q4 being stronger than what may otherwise have been expected due to the Siem Helix I going to work in Brazil. At this time, our expectations are that 2016 earnings will be backend loaded to quarter three and four. The contribution from the Q5000 will ramp up during Q2 and with both the Q5000 and the Siem Helix I and new vessels contributing in Q4. We continue to maintain sufficient levels of liquidity, but will continue to explore ways to enhance liquidity given the continued uncertainties of the market. Bottom line, things are going about as well as expected. With that Erik we'll…
Erik Staffeldt: Okay, Operator, at this time we'll take questions.
Operator: [Operator Instructions] Our first question is from the line of Igor Levi. Please proceed.
Igor Levi: Good morning.
Owen Kratz: Good morning.
Igor Levi: I was hoping to get a bit more clarity on the guidance. First, does the guidance range assume any work for the Siem 1 at the end of the fourth quarter? And then in addition, what type of utilization levels does the high or low end of the guidance account for the Seawell and the Skandi?
Owen Kratz: Oh, I'll take that. There is a expectation for contribution from the Siem Helix I vessel in the fourth quarter. As Scotty mentioned it's one month -- to be conservative, we put in a one month delay on that start up until we have better reports back from the shipyard.
Scott Andrew Sparks: Seawell, we have planned working in the forecast and the Skandi construction at this time, we plan to keep it warm stacked throughout the year. Although there is an assumption that you will get some work later in the year on the Skandi.
Owen Kratz: And then finally, I think the assumptions do assume that the H534 remains stacked through the year, although there is work out there that we are tendering for.
Igor Levi: Yeah, that was actually going to be my next question. The H534, it's said that you are still preparing to cold-stack the vessel in your release. What type of opportunities are you seeing for that vessel and how quickly could that be taken out of cold-stacked?
Scott Andrew Sparks: We've got some tenders on the go in West Africa and also in the Gulf of Mexico to Q4000 to start to fill up this year quite well and obviously Q5000 will be busy with BP. So we have seen a tender activity for the vessel. The vessel is effectively cold stacked throughout now. All the crew have been released. The cost are down to minimal, but if we wanted to bring it back out, we're looking at six to eight weeks to ramp up the vessel.
Igor Levi: Perfect. And just one quick last question on liquidity. Based on your EBITDA, it looks like your revolver availability is now only $147 million. As your EBITDA picks up and you reach the end of the year, let's say you are at the midpoint of your guidance, how much availability will you have on that revolver?
Owen Kratz: The revolver availability is based on our leverage ratio and then it's based on our trailing 12-months EBITDA. So our expectations today are that, that would pick up towards the third and fourth quarter of this year. I don't think we've given specific guidance on what our expectations are that yearend level for liquidity.
Anthony Tripodo: Yeah, the yearend liquidity covenant is 4.5 to 1, right Erik. So moving so or 5 to 1. So again it's 5 to 1. So at 5 to 1 and at the midpoint in the range we would have a pretty good access to the revolver, lot higher than it is now.
Igor Levi: Perfect. Thank you very much. I’ll turn in back.
Operator: Our next question comes from the line of George O'Leary. Please proceed with your question.
George O'Leary: Good morning, guys. I was just curious given -- it sounds like a portion of the guidance is pending the typical uptick in North Sea summer season activity. How are discussions with customers at this point regarding the work that you feel like is a relative lock? And then what do you need to see incrementally between now and then to have that driver of the guidance range come to fruition?
Owen Kratz: George, the North Sea work, we have visibility on the work that needs to be done. In the discussions with the operational levels of the various producers, there is lot of our discussion about what needs to be done. The uncertainty lies in the corporate directives as with regard to what gets sanctioned and what gets spent on the budget. What we're seeing is that although budgets have been approved, each project is going back to corporate levels for individual sanction and that’s creating a little lag compared to normal years where we would have better visibility by this time. Hope that -- hope that adds a little more to it.
George O'Leary: No, that's helpful. And then I think some of the questions we get is, and you touched on it in the prepared remarks, are you seeing increased competition from rigs? It sounds like it's more so just deferral of work. I guess somewhat perversely, is the lack of ability or the fact that the IRS no.1 is on the sidelines today, is that indicative of just there isn't work out there, you've can't even run an IRS stack at the moment? Just curious -- and then how would you characterize the competition from the rigs today?
Owen Kratz: Well, I think you have to split the two markets, the North Sea we really don’t have any competition from the rigs. We compete mostly with more rigs over there and our efficiency gives us a great advantage. The things that have sort of happened in the North Sea are the regulatory changes that do not allow tubing to be pulled open water and then the clients are reluctant to let go of cash at this point. So there is just a lack of work. Gulf of Mexico, I think you are correct. I think the IRS I sitting idle is indicative of the lack of work. Otherwise you might expect it to be out on the drilling rig doing work. Again like I said in the prepared remarks, I don’t think it's so much a factor of us losing work to competition or any -- or rigs. It’s just the fact that there is just a very low volume of work being done right now.
George O'Leary: Great. That's super helpful. And then maybe one more, just a housekeeping item from me. Did I hear that right that Q7000 probably not delivered until late 2018?
Owen Kratz: We have the right that the vessel should be finished by the end of 2017. We have the right to take it then, but that our option we can differ delivery until 2018.
George O'Leary: Perfect. Thanks for the color, Owen.
Operator: Our next question is from the line of Chase Muluehill. Please proceed.
Chase Muluehill: Hey, good morning.
Owen Kratz: Good morning.
Chase Muluehill: So I guess the first question, you talked about a termination fee for the Well Enhancer. How much was that and was that project set to roll into 2Q or 3Q?
Anthony Tripodo: Yeah, the cancellation fee associated with that was not material essentially just covered our cost for being idle during that time period.
Chase Muluehill: Okay. And it did not -- that project was not set to be in 2Q or 3Q? It was just a 1Q project?
Anthony Tripodo: Correct, it was just a 1Q project.
Chase Muluehill: Okay, all right. And when we think about the bottom end of the guidance range, does that imply flat year-over-year well intervention EBITDA at roughly $100 million?
Anthony Tripodo: I’d have to go back and look Chase at last year’s EBITDA results. I just don’t have that handy right now. So, let me come back to you on that.
Chase Muluehill: Okay. Okay. All right. And it seems like that you are doing a lot better on the cost side of the equation. So can you just walk through where you've been able to cut costs and are these more structural costs? So as activity picks back up that these costs won't come back, or should we be thinking about as activity picks up that these costs will come back?
Owen Kratz: In the first stages as our activity comes back, I expect the cost structure to stay the same. We’ve done a lot of work reducing our offshore terms and conditions and salaries. By warm-stacking the vessels, we've released a lot of the offshore guys. So as we bring those vessels back out, I expect to be able to hire people at lesser rate. We've lifted all of the procurement side of the business and we've been like we've had to reduce rates, we've been making our vendors reduce their rates. That we've taken a good look at how much we would spend on repairs and maintenance and dry docking. So across the Board, we've been looking at the cost at all levels. We've reduced staff onshore as well in all of the business areas. So, it’s -- in my mind, we've right sized the company and the offshore staffing that was to the size of fleet we have now and the expected activity.
Chase Muluehill: Okay. All right. And a couple more real quick. So I guess if we think about the opportunity for you to manage your covenants through debt repurchases, Tony, what's your comfort level here as we get through 2016? It sounds like you've got enough cushion on your covenants there, but depending on what happens with Siem, the Siem vessels, you may have to do something in 2017, probably not. What are your thoughts on debt repurchases on how you manage your covenants?
Anthony Tripodo: Okay. Chase those are good questions. Obviously we analyze and look at this every day. Our game plan is sort of as follows. We always like to roll over our term loan bank credit facility a year plus prior to maturity. The facility matures in June of 18. So by time June of 17 rolls around and hopefully well before then, we'll want to redo our credit facility. Our expectation and hope at that time is that we roll the term loan as well. Whether that’s achievable or not really will depend on the state of the industry and the state of the bank market and their perspective on the industry at that time. But a year from now, we should be in the middle of our effort to take care of that facility and roll it over, just like we would in any normal year -- in any normal circumstances. And so far as the convertible notes go, I would say that, that is another area where we are evaluating it. We have to take -- make the assumption that 2018 -- in 2018 the holders of the converts will put it to us and that's a $200 million put and we would certainly like to mitigate that, put somehow or another and all I can tell you right now Chase is we study it every day. It is a high priority analyses. I’ll just say that. Let me take this opportunity to correct an answer I made to Igor Levi's question insofar as our liquidity and our headroom under the revolver because our covenant leverage ratio declines from the current 5.5 to 1 to 5 to 1, we won’t be at the middle of the range, our availability to the revolver will probably decline, right, Erik? So I want to make that correction. So Chase, I hope that answers your question, but if it doesn’t, let…
Chase Muluehill: Yes, very helpful. Thank you. And so I guess how many -- so I can back into the current availability here, how much letters of credit do you have? Is it roughly $13 million or in that ballparkish?
Anthony Tripodo: I think it’s less $10 million right now.
Chase Muluehill: Less than $10 million? Okay, okay. Last one, then I will turn it back over. So you took down CapEx for 2016 and in a recent presentation, you gave CapEx all the way out through 2019. Are there any changes to 2017, 2018 and 2019 relative to what your presentation showed a couple months ago?
Anthony Tripodo: I’d say no at this time. We keep looking at it and we keep working on it, but right now those numbers are fresh enough that they are still accurate.
Chase Muluehill: Okay. Awesome. I will turn it back over. Thank you.
Operator: Our next question is from the line of Marshall Adkins. Please proceed.
Marshall Adkins: Good morning, guys. Owen, I want to turn to some big picture questions here. The industry obviously is struggling to bring down costs to deal with the lower long-term oil market. I presume you are in conversations with all your clients regarding how they achieve this. So I'm just curious, how do you think the industry is coming on knocking down overall offshore costs? And if we were at $90 a barrel equivalent in 2014, can they get that down to $60 and below over time?
Owen Kratz: Good question. I thought you're going to ask me about Trump's chances in the election. I agree with Schlumberger in that the cost reductions that you're seeing on that announced by the producers are not necessarily real cost reductions as a result of technology or methodology change. Its more cost reduction on the back of the service industry that’s been basically crushed here. That I don’t think is sustainable. I think the service industry contracts, I think longer term, one thing that concerns me Marshall is if you go back to the mid 80s, it took us almost 10 years to recover from that downturn because the flight of the labor out of our industry. I think you're going to be seeing something similar to that with the rest of the economy sputtering along because it is still stronger than the oil and gas sector. Some of the people that have left out have said they're hanging it up just because they don’t want the uncertainty any longer. So when oil does come back and it creates a relative boom in growth, I think you're going to see labor become scare than it did in the early 90s and that’s going to drive labor cost up. I think this time around I think we're a little better prepared to deal with it. Like Scotty said, our expectations right now are that during the early part of the recovery we'll actually be at higher that at lower cost than where we were. I think by 2014 all of the service costs have really gotten exuberant and overinflated. So, I don’t think the cost come all the way back to where they were, but I do think that there has to be some increase in the cost to the producers going forward.
Marshall Adkins: All right. On the service side, but it sounds like you are somewhat skeptical on the structural decrease in costs or at least the pace of that. Is that fair?
Owen Kratz: I’m sorry say that again.
Marshall Adkins: It seems like you are a little skeptical about the structural nature of the cost decreases for the industry, i.e. getting better at doing it. As you know, we are looking for oil prices to rebound and you think the service component of that goes right back up, but the structural nature of the cost reductions, i.e. getting smarter, getting more efficient are still coming relatively slowly. I don't want to put words in your mouth, but is that what I hear you saying?
Owen Kratz: I think certainly the motivation for the industry will be to try and come up with better ways of doing it and lower cost, but for any stepwise change in technology or methodology, it also requires a certain amount of capital investment and during this time right now, I think there is a lack of capital investment on anybody’s part. So the costs right now are really reductions in capacity. I will say though that where Helix was positioned was in trying to offer a lower cost alternative to rigs. That is the thesis of our existence. So having said that, I think we’re well positioned the use of non-rig alternatives for well work was really just in its infancy and demand growth. So as the market comes back, I think the quest to find lower cost methods of doing the work really just speaks positively for the future of our efforts.
Marshall Adkins: So you are part of the solution. Good. One last clarification here. I know you can't give any details on the Siem contract negotiations, but it does sound pretty clear that those vessels will be going to work. It's just the structure around the contract maybe gets adjusted a little bit, but they are going to work, correct?
Owen Kratz: That’s the invitations that I've received from Petrobras at this time.
Marshall Adkins: Perfect. Thank you.
Owen Kratz: Okay. Let me add one thing Marshall that we're not on Petrobras, but on the technology side. One of the benefits that we have going for us right now is our alliance with one subsea and between us, there is a lot of companies that aren’t spending the capital. We're in a fortunate position that our balance sheet is let's use the old phrase, it's the prettiest horse in the glue factory, but we have ongoing efforts with one subsea as developing new methodology to be deployed off of our vessels. Just more specifically when it comes to the regulatory changes that have occurred, on abandonment making it more expensive for the producers, I think we have some counter moves coming up where new technology may allow us to bring that cost curve back down.
Marshall Adkins: Thank you, Owen.
Operator: Our next question is from the line of Matthew Marrieta. Please proceed.
Matthew Marrieta: Hey, thanks. Good morning, guys. Thanks for taking the questions here. Wanted to start really with the Q4000. The performance there obviously very strong and I think Scotty hit on this if I heard right. Was there an incremental customer that came into 1Q and if this is a new customer or an existing customer and what sort of work were you able to line up with this incremental customer on the Q4000, if I heard that correctly?
Owen Kratz: The work that we had in Q1 was that the plan work we had, for the two clients, clients that we had contracts with for a long time, and the work for one of the clients was P&A work and the next client was an intervention.
Anthony Tripodo: But they were new contracts. Yeah, we may have referred to new contracts Matt and had applies to quarters two through four. We actually picked up some additional work with customers that we hadn’t anticipated, but Q1 really was as expected. The vessel performed very well, had 100% utilization but that was with work that we had contracted previously.
Matthew Marrieta: And you kind of hit on what my follow-up was going to be with respect to the Q4000, which was the incremental work that you have picked up that you've lined up for the second and third quarters, what's driving these wins? Obviously rig guys are bidding on similar jobs or at least that's the anecdotes that we hear. Is this performance-based that's getting these wins for you? Are you having to take much on price? Or is really the customer base recognizing the value proposition? Maybe help us understand what's driving the incremental backlog wins for you?
Scott Andrew Sparks: I will take that. The price levels have dropped with increased rig competition in the Gulf, but we have one work with new clients and in the forward-looking schedule for Q4000 is three new clients and especially we won that work based on efficiencies plus how we undertake the work compared to the rig.
Matthew Marrieta: And I guess these new clients, do you view that as an opportunity to help the marketability of the Q7000, or are these the type of clients that would be willing to take on longer-term larger contracts like for instance Shell and BP, or maybe help us understand that opportunity?
Scott Andrew Sparks: Certainly one clients has been a target of us for a while and with the alliance now, we've been able to take the components that Schlumberger and OneSubsea provides and put into our vessel and offer an overall package that may lead to bigger and better things with that client.
Matthew Marrieta: Okay, great. And then one more out of me on the robotics side. I'm trying to get a sense for where are we in the potential to maybe break even on the gross margin there for 2016. Obviously 1Q puts you in a pretty big hole, but using 1Q as a starting point, it seems like this year could be slightly negative on the gross margin, maybe a slight deterioration from prior comments. How do we think about maybe gross margins, cash flow there on the gross margin in robotics for 2016 and when can we potentially see that inflection to profit the margin, do you think?
Anthony Tripodo: Yes, so if we're talking gross profit versus EBITDA on the Robotics business, we expect to have slightly negative gross profit in the Robotics business and previously we suggested that the Robotics business will be breakeven from an EBITDA standpoint and that is still our outlook. But from a gross profit basis, it’s going to be slightly negative. Not a lot, it's all relative, but it’s not substantial, but it's still slightly negative. It won’t take much incremental business to turn that to breakeven positive, but our outlook for the year is very muted. It's going to be the worst year that we've ever experienced since we owned the Robotics business.
Matthew Marrieta: Okay. Thank you. That color helps on the models. Okay. Thanks a lot for answering the questions and I will turn it back.
Operator: The next question is from the line of Trey Stolz. Please proceed. 
Trey Stolz: Hi, guys. Looking at the Q5000, if I recall correctly, that contract accounted for about 75% of the available days for each year. Your guidance, does that include the additional 25% of days for 2016 and what's the outlook for that with the additional negotiations going on?
Owen Kratz: Yeah, the BP contract was I believe for 70% of the days, 270 days for our 2016 outlook it includes all the remaining days on that contract.
Trey Stolz: So 100% utilization for the remainder of the year on the contract. And can you give us any color on client appetite for the remaining days available?
Anthony Tripodo: They don’t have it quoted down into mid of the year, but they are looking at the work program and I can see moving on further into 2017 without a break at the moment, but it's the client's call for now.
Trey Stolz: And when did they do that call Scotty?
Scott Andrew Sparks: Midyear June.
Owen Kratz: Okay.
Trey Stolz: Okay. And if they elect not to utilize that, it's open to other operators in the Gulf?
Owen Kratz: Correct, yeah. We've had a whole bunch of show and tells from clients to the vessel. So there is interest in those that period.
Trey Stolz: All right. So anything in those extra 90 days or so on an annual base would be upside to guidance at this point?
Anthony Tripodo: Correct.
Trey Stolz: The Seawell, the unstacking, is that pretty firm then, the May/June timeframe?
Anthony Tripodo: Yes, at this time we have contracted work for the Seawell in that timeframe. So we'll stop coming out of worm stock here in the next couple of weeks.
Trey Stolz: And Tony, we've had this conversation in the past, but can you get a sense or is there any more clarity -- is this a pure seasonal issue in the North Sea, or is it more the floating rigs come off contract and operators are free to spend as they please, they are coming back to -- our deepwater well intervention, as Owen noted, was still in its infancy? Any idea you can kind of weigh that a little better now looking at the summer?
Anthony Tripodo: For the North Sea specifically, I’d say that the industry has shifted back to where it was historically where the work will now and going forward always be more seasonal than it has in recent years, with respect to the rigs.
Owen Kratz: We don’t compete against rigs in the North Sea right.
Anthony Tripodo: Yeah, I might add a little color there. In the North Sea, the regulations are a little different from elsewhere. In the North Sea you're not allowed to pull tubing without well control in place, which limits our role to doing the lower section of the abandonment and then rigs are typically brought in to do the upper portion of the abandonment. That’s the way the market functions right now. As I alluded to earlier, I think we had some technology changes that will increase our capability there. So, I would expect an uptick in our utilization from that.
Owen Kratz: And approximately 50% of the wells in the North Sea still require diver intervention, so our assets are very unique in the North Sea by having the diver interventions and going into the lower abandonment, which no rig can do.
Trey Stolz: Great. Okay. That will do it for me. Thanks.
Operator: [Operator Instructions] Our next question is from the line of Bill Dezellem. Please proceed.
Bill Dezellem: Thank you. Excuse me, I have a group of questions. The first one is the $26.2 million equity investment on the balance sheet as of December 31 does not exist as of March 31. Is that the Marco Polo, or what am I missing there?
Owen Kratz: Yes, that is the Macro Polo that we sold in February.
Bill Dezellem: Great. Thank you. And then you've mentioned the OneSubsea JV a couple of different times. I'm hoping I can just open up a more broad discussion of an update with the JV, please?
Owen Kratz: Well, the JV I think, the heart of the JV is a mutual agreement whereby the OneSubsea Group of Companies exclusively use our vessels to perform their work and advise first that we exclusively use their services to perform the work, that’s the basis of the alliance. Beyond that though, we have joint marketing, which has helped tremendously. Scotty mentioned a couple of new clients, new major clients. They've been generated primarily as a result of our relationship through OneSubsea. And then as I mentioned earlier, the technology development they bring a lot to the table. Hopefully we do as well and combined I think that’s adding a lot to help lower cost going forward. But I think the biggest thing that it brings to the industry is a fully integrated approach to doing the work. Prior to this, producers were typically higher Schlumberger separately and us separately. Whereas we’re able to provide is a completely integrated packages of services combined with the deployment asset and through that combination there is a lot of thing that we can do to increase efficiency and lower cost.
Anthony Tripodo: The sales effort greatly under the lines has increased significantly and the offering out there for one contract for all services under one package is taken very well one month and that's helping bring some of these new clients to the table. But through the alliance, we've now bid an awful lot more work in Africa and again we're able to offer local content support because of the alliance and have one contract to the client where the client really has taken well to.
Owen Kratz: And then finally just on the cost side because we now consistently have the same equipment and the same people on board, the vessel we're able to do a certain amount of cost training lowering the personnel on board and therefore greatly lowering the direct cost of the spread.
Bill Dezellem: Great. Thank you. I'd like to come back to the new clients that you have now lined up. Did those come to you by replacing some other option that they were using, or had their particular facilities that you are going to be working on not actually progressed to the point that you needed the well intervention and so this is really new work for them? I guess I'm trying to understand where that business came from and if that's a market share gain in some way, or I hesitate to say market expansion, but you get the idea.
Anthony Tripodo: Yeah, no its work they've had to do and it's work that we've been up against the rigs and we've won that work by showing our efficiencies and by being able to put one contract forward from the alliance. So we’re doing things different at the rigs and we're winning the work against the rigs. That that work is there and needs to be done and it's more efficient with our services.
Owen Kratz: So I would definitely characterize this as the market share increase.
Bill Dezellem: That is helpful. And on the prognosis going forward relative to additional wins like this, how significant could they be and then I also would like to understand when you believe the new technology that you are working on with the alliance will be available to the market and could be meaningful from a shareholder perspective.
Anthony Tripodo: Okay. Well the new technology, the first piece of new technology will be the 15k system that will come to the market mid next year and has been jointly developed by the alliance and then this other technologies that we're working on that could come to the market on a similar timeframe possibly couple of quarters later that, some of that technology really changes how we would take some efficiencies and some of the works on the rigs would do that we wouldn't have necessarily do.
Bill Dezellem: And then prognosis for additional wins?
Owen Kratz: As it -- like I said, the sales efforts increase there is a lot more tender activity that -- and until we win those clients, it's hard to put it out there.
Anthony Tripodo: Yeah, I think that’s really a blue-sky question because as I said before, the demand for non-rig alternatives was really in its infancy. So, as we go forward you can -- it will be a combination of how much more market share we can take combined with how large the market expands.
Bill Dezellem: Thanks to all of you for the answers.
Operator: There are no further questions on the phone lines. I'll turn the call back to you.
Erik Staffeldt: Thanks for joining us today. We very much appreciate your interest and participation, and look forward to having you on our second quarter 2016 call in July.